Operator: Good day, and thank you for standing by. Welcome to the IAS Q1 2024 Earnings Conference Call. [Operator instructions] After the speaker's presentation, there will be a question-and-answer session. [Operator instructions]. I would now like to hand the conference over to your speaker today, Jonathan Schafer, Senior Vice President, Investor Relations. 
Jonathan Schaffer: Thank you. Good afternoon, and welcome to the IAS 2024 First Quarter Financial Results Conference Call. I'm joined today by Lisa Utzschneider CEO; and Tania Secor, CFO. Before we begin, please note that today's call and prepared remarks contain forward-looking statements. We refer you to the company's filings with the SEC posted on our Investor Relations site at investors.integralads.com for more details about important risks and uncertainties that could cause actual results to differ materially from our expectations. We will also refer to non-GAAP measures on today's call. A reconciliation of non-GAAP measures to the most directly comparable GAAP measures is contained in today's earnings release available on our Investor Relations site. All financial comparisons unless noted otherwise, are based on the prior year period. So with these formalities out of the way, I'd now like to turn the call over to our CEO, Lisa Utzschneider. Lisa, you may begin. 
Lisa Utzschneider: Thank you, Jonathan. Welcome, everyone, to our 2024 first quarter call. Revenue and adjusted EBITDA for the first quarter exceeded our prior expectations. Revenue grew 8% to $114.5 million, ahead of our prior outlook of $111 million to $113 million. Adjusted EBITDA was $33.1 million at a 29% adjusted EBITDA margin. As we moved through the first quarter, we benefited from increased advertiser demand for our industry-leading products, particularly in social media. Our first quarter performance includes the previously discussed factors within measurement and optimization that we anticipated. We expect favorable demand trends for our products in the second quarter, and we are increasing our full year outlook. On today's call, I'll address the importance of data integrity and our trusted AI-backed technology, the strong momentum in social media across platforms, our robust product pipeline in both measurement and optimization and several high-growth opportunities that we continue to prioritize.   Marketers trust IAS to protect, measure, inform and optimize their brand campaigns. Their trust is based on the accuracy and reliability of our data. Data integrity is critical and inherent in all the reporting and insights we provide in every aspect of our business. Data science is at the heart of our business strategy. Our AI systems enable models that deliver classifications and analytics at greater speed that are scalable with extremely high precision. This in turn helps deliver the most actionable data to our clients. In a recent IAS study, our AI technology delivered up to 74% more accurate brand suitability measurement across social media platforms when compared to other provider solutions. While IAS is focused on harnessing the power of AI, we are committed to doing it responsibly. We are investing in explainable AI, which ensures that our customers can trust our models. The accuracy, reliability and integrity of our data is anchored in our AI innovation as well as in our critical role as an independent third-party provider. This allows us to maximize the value we offer, all while maintaining and growing the trust customers have in IAS.   A few weeks ago, I presented a TikTok Second Annual Beyond Brand Safety Summit, along with TikTok's Head of Global ad tech partnerships and brand innovation product lead. TikTok selected IAS is the only third-party measurement partner to speak at the event highlighting the essential role IAS play in supporting TikTok advertisers. Our leading partnership with TikTok as well as our recently announced exclusive first-to-market partnerships with X and Snap demonstrate the trust's major platforms placed in IAS, which fuels our innovation. At IAS, we lead with customer obsession, putting the customer first and ensuring we're at the forefront of innovation has resulted in a highly sticky customer base with an average tenure of 8-plus years for our top 100 marketers. We have increased wallet share with our large customers as a result of organic volume growth, upsell cross-sell of new products, expansion into new global markets and channels as well as land to expand within existing customer brand portfolios. Since 2019, we've seen a 55% increase in average annual spend in year 2 of new contracts based on our advertiser customer data. We're pleased to have secured several recent wins and renewal expansions across industry verticals, including CPG, telecommunications, automotive and financial services. We have also proven our ability to grow with our customers as they shift advertising budgets to capture the explosive growth of social media, including short-form video.   Social media measurement revenue represented 21% of total revenue and grew 40% in the first quarter due to the rapid adoption of our total media quality TMP product suite. IAS is leading in social media with integrations across the major social platforms, including Meta, YouTube and TikTok. IAS has also established industry-first partnerships with X and Snap further validating the superiority of our social media offerings. With Meta, we've achieved strong adoption of our AI-driven TMQ brand safety and suitability measurement product across Facebook and Instagram Feed and reels total volume of impressions on Meta increased more than 50% in the first quarter since brand safety and suitability measurement launched on February 5. We're delighted to announce that we've expanded availability of our brand safety and suitability measurement on Meta to include 21 new languages for a total of 28 supported languages. In April, we've also expanded to include our GARM-Aligned misinformation measurement to meet growing advertiser demand ahead of the upcoming U.S. elections.   With TikTok, we expanded our global industry-leading brand safety and suitability measurement to 12 GARM categories and 15 vertical sensitivity category exclusion segments in April. We added 11 countries for total coverage of over 60 countries. We also expanded our measurement ease of activation with automated suitability profiles and enhanced reporting capabilities, validating that our customers' adds are appearing in brand suitable environments. With YouTube, we earned MRC accreditation in March for our integrated third-party calculation and reporting of YouTube video viewability for desktop and mobile, including web and app using Google's ads DataHub for measurement partners. In February, IAS launched its exclusive prebid product with X, providing the opportunity for U.S. advertisers to opt in to activate prebid IAS optimization for X and the vertical video product. IAS classifieds vertical video ad agencies for brand safety and suitability aligns to the GARM framework giving advertisers maximum control over where their ads appear on the X vertical video feeds. Our relationship with X is based on trust and transparency with the foundation built on the accuracy of our data.   In March, IAS announced a first-to-market partnership on Snap to provide AI-driven brand safety and suitability measurement for advertisers. By integrating our TMQ product suite, advertisers on Snap will have access to increase transparency across their Snaptrack campaigns. We're currently in development and expect to go live later this year. This announcement expands our partnership with Snap, which dates back to 2018 in which IAS launched viewability and IBT measurement. We are prioritizing offerings in measurement and optimization that drive superior results and ROI for our customers and an increasingly cookie-free world we are expanding the reach of our quality Sync product to new DSPs, which simplifies activation for our prebid optimization products, QSP revenue more than tripled year-over-year in the first quarter. In the first quarter, we increased adoption of our total visibility product. Total visibility enables customers to connect performance metrics such as conversions and sales lift, supply path and cost of media to IAS' media quality metrics. In April, IAS expand our MFA AI-driven solution to GA after an extensive beta that spanned over 100 campaigns. Our MFA solution is the first to measure and optimize against both MFA and ad clutter sites to drive maximum efficacy across the programmatic buying process.   Our quality attention solution went live in early January and has experienced significant growth in active customers since launch. Our differentiated approach unifies media quality and eye tracking with machine learning to deliver proven results for advertisers. Higher attention drives better sales performance in a recent study in partnership with NC Solutions on behalf of the major CPG client, we found that impressions with higher retention scores drove an increase of 157% in incremental sales versus impressions with lower attention scores. Ahead of this year's U.S. elections, IAS is helping protect brands by enabling them to identify and avoid misinformation using a combination of AI-backed technology and human detection. IAS has been combating misinformation on the open web since 2021 in partnership with the Global Disinformation Index, or GDI and aligned with GARM standards. We've significantly enhanced our misinformation offering to include TMQ and leading social platforms.   During the quarter, we realized double-digit revenue growth with our mid-tier clients. We have established new partnerships with mid-tier DSPs, including 2 in the important pharmaceutical sector. We also signed 5 mid-tier agencies as their preferred or exclusive partners. Lastly, we continue to invest in high-growth opportunities, including CTV, retail media and gaming. During the quarter, Publica by IAS partnered with CNN and Turner Sports in EMEA. Both publisher partners used Publica by IAS' unified ad [oxen's] solution to increase fields and guarantee the best viewing experience for users. We are delighted to announce that Cam Miile will be joining IAS as Chief Revenue Officer at Publica. With over 12 years in sales leadership roles at FreeWheel and OpenX, Cam possesses deep knowledge of the CTV and publisher landscape. We look forward to welcoming Cam to the team.   In April, IS received accreditation for filtration of sophisticated invalid traffic and CTV environments as applied to video impressions, viewable impressions and viewability related metrics. Our latest MRC accreditations demonstrate our continuing commitment to transparency into the MRC process. In the last 12 months, we've achieved 10 third-party certification, accreditations, including 4 from the MRC. In April, IAS was one of the first companies to receive Trust Ark's trustee responsible AI certification, demonstrating our commitment and alignment with the highest standards of AI governance. The certification validates our practices for the development and deployment of AI systems are secure, fair and transparent. In Retail Media, IAS is a leader in independent verification with coverage for viewability, IBT and brand safety with the top retail media networks. In the first quarter, volume from Retail Media Networks grew 88%. Last week, IAS announced the first-to-market integration with roadblocks to provide 3D in-game viewability and invalid traffic measurement in the immersive environment. Advertisers can access best-in-class third-party measurement to verify that their immersive, in-game advertisements on roadblocks are driving engagement with real users.   To conclude, first quarter results exceeded our prior outlook, and we expect accelerated growth in the second quarter. As previously discussed, we expect the measurement contract renewals to be net revenue positive in 2024. In addition, new products and recent customer wins, along with other contributing factors reinforce our confidence in our increased full year outlook. And with that, I'll turn the call over to Tania to review the financials, and then we'll take your questions. 
Tania Secor: Thanks, Lisa, and welcome, everyone. We were pleased to see increasing business momentum as we move through the first quarter and into the second quarter. We expect to benefit from multiple growth drivers in the second half of the year that I will discuss. As a result, we are raising our full year outlook. Total revenue in the first quarter increased 8% to $114.5 million, ahead of our prior outlook of $111 million to $113 million. Increasing social media spend by marketers was the main driver of our better-than-expected performance in the period. Total revenue from advertisers, which includes optimization and measurement revenue increased 8% in the first quarter and represented 86% of total revenue for the period. Optimization revenue grew 3% to $52.5 million in the first quarter. Optimization revenue growth in the first quarter reflects the implementation of previously negotiated pricing by one optimization client as discussed on our last call as well as softer demand, particularly in auto and T&E. Additionally, on a comparable basis, last year's first quarter benefited from strong seasonal campaign performance as well as from carryover campaigns from the 2022 World Cup. We expect the growth rate and optimization to more than double in the second quarter from first quarter levels based on improving demand trends as well as the anticipated contribution from recent new logo wins. Measurement revenue increased 14% to $46.3 million in the first quarter.   Measurement growth in the first quarter reflects strong demand for our social media products, including our premium price TMQ offering. Social media revenue grew 40% in the first quarter, with strength across platforms, including Meta following the launch of TMQ as well as YouTube and TikTok. Meta volumes overall increased more than 50% following the TMQ launch in early February, and we expect a similar rate of growth of Meta volumes for the balance of the year. Advertisers on Meta represent more than 40% of our social media revenue today. Social media revenue represented 21% of total revenue in the first quarter compared to 18% in the fourth quarter of 2023. Social media revenue represented 52% of total measurement revenue with the balance being open web, which saw lower demand as marketers shift spend to social. As a result of the strong growth in social media, video grew 27% in the first quarter. Video accounted for 53% of measurement revenue, up from 47% in the first quarter of 2023. Measurement performance in the first quarter also included the expected impact of the previously discussed contract renewals. Publisher revenue increased 10% to $15.8 million in the first quarter. Publisher revenue reflects continued adoption of our public solutions by large OEM partners, partially offset by the performance of our non-CTV supply side businesses. Publisher revenue represented 14% of total first quarter revenue. Looking at our revenue performance by region.   Revenue in the Americas increased 6%. International revenue, excluding the Americas, increased 13% year-over-year and benefited from growth in social media spend, including TMQ in both EMEA and APAC. While international revenue represented 31% of total revenue, 42% of measurement revenue came from outside of the Americas. Gross profit margin for the first quarter was 77%, in line with our full year margin target of 77% to 79%. Gross margin performance reflects investment in data infrastructure and increased hosting costs compared to the prior year. Sales and marketing, technology and development and general and administrative expenses combined increased 14% year-over-year, which includes the impact of higher stock-based compensation expense. We continue to invest in the long-term growth of IAS with particular focus in the areas of engineering, data science and sales. We continue to capitalize internally developed software related to new product development and long-term investments in our technology. Stock-based compensation expense for the period was $15.7 million, in line with our prior expectation of $14 million to $16 million. Adjusted EBITDA for the first quarter, which excludes stock-based compensation and onetime items, was $33.1 million at a 29% margin, ahead of our prior outlook of $28 million to $30 million, primarily driven by the higher-than-expected revenue. Net loss for the first quarter was $1.3 million or $0.01 per share.   Turning to our performance metrics. Our first quarter net revenue retention, or NRR, was 113%, which reflects the trend of our overall growth rate for the period. The total number of large advertising customers, which includes both mid-tier and top-tier clients with annual revenue over $200,000 increased to $227,000 up 11% compared to 204 last year and up sequentially from $222,000 in the fourth quarter of 2023. Revenue from large advertising customers was 85% of total advertising revenue at the end of the period, up from 84% at the end of the first quarter of 2023. The profitable nature of our business model results in strong free cash flow, which enables us to lower our debt and provides us with financial flexibility to invest in the long-term growth of the business. We maintain a healthy balance sheet with cash and cash equivalents at the end of the first quarter of $83.9 million. During the quarter, we reduced our long-term debt by $30 million to $125 million. As a result, our net debt at the end of the first quarter was $41 million.   Turning to guidance. For the second quarter ending June 30, 2024, we expect total revenue in the range of $125 million to $127 million or 11% year-over-year growth at the midpoint. Adjusted EBITDA for the second quarter is expected in the range of $37 million to $39 million or a 30% margin at the midpoint. For the full year 2024, we are increasing our revenue outlook to $533 million to $541 million or 13% year-over-year growth at the midpoint versus the prior range of $530 million to $540 million. We are raising our full year adjusted EBITDA range to $174 million to $180 million or a 33% margin at the midpoint versus the prior range of $171 million to $179 million. A few additional modeling points. Our gross profit margin outlook remains unchanged in the range of 77% to 79% for the full year, which reflects higher hosting costs related to our video offerings. Second quarter stock-based compensation expense is expected in the range of $15 million to $17 million. Full year 2024 stock-based compensation expense is expected in the range of $63 million to $66 million, lower than our prior expectation of $72 million to $76 million. We expect weighted average shares outstanding for the second quarter in the range of 160 million to 161 million shares and 160 million to 162 million shares for the full year. We are pleased to introduce a positive outlook for the second quarter with continued growth in measurement, driven by strong customer adoption of our social media offerings. The optimization growth rate year-over-year is expected to more than double in the second quarter from the first quarter. Publisher revenue in the second quarter is expected to include double-digit growth in Publica, consistent with Publica's strong first quarter performance.   As we move into the back half of the year, we expect accelerated growth driven by our robust product pipeline, including the ongoing TMQ rollout across social platforms, the scaling of our recently launched MFA and attention products, quality sync expansion, the contribution from new logo wins and higher volumes from the recent measurement renewals. In addition, we expect profitable growth with expanded adjusted EBITDA margins as we move through the year while investing in the growth of the business and reducing debt. Lisa and I are now ready to take your questions. Operator? 
Operator: Thank you. [Operator instructions]. Please limit yourself to one question and one follow-up, one moment for questions. Our first question comes from Matt Farrell with Piper Sandler. 
Matthew Farrell: Congrats on the really strong results and the strong guide. Maybe just getting this question out of the way on the pricing side of things. Would just love to hear a bit more about the contract renewals and the new contracts you signed since the last call, or were conversations with advertisers around pricing following the Q4 commentary? 
Lisa Utzschneider: Sure. Happy to take that, Matt. So a few things about the pricing dynamics. The first is in terms of renewals, as we anticipated, our average measurement eCPMs in the quarter were as we had expected and baked into our guidance and forecast. And also, we saw measurement volume growth that was also part of our guide. In addition to that, our renewals in Q1, we saw 100% renewal rate with all of the renewals we were able to close in Q1. 
Matthew Farrell: Got you. And maybe just on the second half revenue ramp. A lot of good growth drivers there. We just love how to think about how much visibility you have into those different growth drivers at this point in time. 
Lisa Utzschneider: Sure. So in terms of the growth drivers in the second half of the year, when you take a look at our Q1 results, there are several strong tailwinds that are driving our business. The tailwinds include social, TMQ, in particular, we're seeing rapid adoption of TMQ across all of the social platforms, and we anticipate ongoing adoption of TMQ into the back half of the year. In addition to that, we expect continued expansion of quality sync, especially in the new DSPs we had just mentioned on the call. And then also, we have a robust new product road map for the back half of the year. We've already launched these products, including MFA, attention, misinformation. We're seeing nice adoption and the team will focus in the back half of the year continuing to drive that adoption. The other tailwind is Publica. We love to see the double-digit growth in Publica in the first quarter as the team continues to drive engagement with strategic OEMs, including Samsung, INVISIO, and we anticipate ongoing growth and adoption for Publica. 
Operator: Thank you. One moment for questions. Our next question comes from Jason Helfstein with Oppenheimer. 
Jason Helfstein: So I guess on behalf of investors kind of thank you for kind of doing the mature thing last quarter and kind of making sure that you weren't overly sticking your neck out just given some of the factors. So I think everybody appreciates that. Two questions. I guess, first, on the level of Meta adoption assumed in the guide, is it basically kind of a continuation of the current spend that you've kind of seen through April or kind of further adoption and maybe how much of that further adoption is kind of already contracted with minimums? And then secondly, we're going to see a pretty big increase probably from kind of Netflix and kind of Amazon after this upfront. Any -- we know you have exposure with Netflix there, but just broadly, does that impact the company kind of coming out of this up from just given the more adoption of some of that video? 
Lisa Utzschneider: Okay, Jason, happy to take both questions. So as I mentioned before, an important tailwind for our business continues to be social driving the adoption of TMQ. We were thrilled to launch TMQ on Meta in early February and are pleased with the adoption that we've seen to date -- as we mentioned before, the 40% growth in social for the first quarter, we also saw the 50% year-over-year increase in volume on Meta. And we're seeing that ongoing growth into the second quarter. The other thing I'll call out in terms of TMQ adoption from a vertical perspective, where we're seeing nice adoption is CPG, retail and tech telco verticals. And then in terms of your question regarding Netflix and Amazon, as I mentioned before, we're seeing really nice growth in the CTV space with Publica we're also seeing our customers lean into our measurement offerings in CTV, both in Netflix and on other platforms, and we anticipate ongoing growth in the back half of the year. 
Operator: One moment for questions. Our next question comes from Justin Patterson with KeyBanc. 
Unknown Analyst: Great. This is Jacob on for Justin. You've had a solid relationship with X channel others have struggled with. How are your associate capabilities being viewed by advertisers? And do you believe so is the fact you're value winning business? 
Lisa Utzschneider: Yes. So we've been partnered with X for over 6 years, and we continue to lean into our X partnership, innovate on behalf of X and the brands that are running on X. You might recall we launched an exclusive prebid brand safety and suitability partnership with X and X remains committed to the importance of brand safety and suitability for our brands and for the broader digital ecosystem. 
Operator: One moment for questions. Our next question comes from Brian Fitzgerald with Wells Fargo. 
Unknown Analyst: This is Rob on the call for Fitz. Lisa, you've been ahead of the curve in talking about and really preparing us for the mix shift from programmatic to social video and CTV. It seems like that shift is accelerating, but wanted to ask if you could expand on what you're seeing right now. And Tania, if you could maybe talk a bit about your outlook for activation segment growth for the rest of the year? And second, sort of related to that, Lisa, can you talk about the opportunity in social and CTV in comparison to programmatic maybe in terms of your ability to expand your solution set over time and capture value for IAS as well in relation to underlying media spend? 
Lisa Utzschneider: Sure. So in terms of social, as I mentioned before, we're pleased with that 40% growth year-over-year in first quarter, particularly with the launch of our total media quality technology that we're currently running across multiple social platforms and launched in Meta in early February. It is a major driver for our business. We command a premium price for our TMQ products because of the level of sophistication of the technology that we are classifying multimedia from a video image, audio and text in a very granular way, frame by frame. And as I mentioned before, we're seeing several verticals, in particular, lean into our measurement solutions and our TMQ product, in particular, including CPG retail and tech telco.   In terms of CTV, as I mentioned before, that is also a tailwind for our business. A big reason for that is because of our differentiated leading CTV platform of Publica, where we have strategic partnerships with Samsung, VISIO and other OEMs. And the fact that we have a marketplace in place, bringing together brands and the broadcasters and publishers. It's a huge differentiator for IAS. 
Tania Secor: And Rob, so on your second question around optimization, we experienced softer demand in Q1 on the optimization front, particularly in the auto and T&E verticals. It's also -- but we're starting to see that rebound as we head into the second quarter. And it's also worth noting there were some seasonable -- seasonal campaign spending in Q1 of last year, which was a little bit of a headwind for optimization in Q1 of this year in terms of the comps. But we're seeing optimization improvement in March and as we head into the second quarter, our outlook is optimization growth rate, more than doubling in the second quarter from our first quarter growth rate. 
Operator: One moment for questions. next question comes from Raimo Lenschow with Barclays. 
Raimo Lenschow: Two questions. Lisa, the -- like after this week's earnings from some of your competitors, there's a big question mark around the health of advertisers in general. You were very kind of geared into what's going on in the industry. What are you seeing there in terms of like how spending is evolving there on the advertiser side? And then I had one follow-up. 
Lisa Utzschneider: Yes. Sure. Raimo, happy to take your question. So what we're seeing is a positive advertising environment and marketers. And as you know, I spent a lot of time with the brand. They're leaning into our differentiated solutions and the reason why they're leaning into our solutions is they're looking for performance, transparency, efficiency and growth. And some of the stats we've already shared in the call demonstrate the strength that we're seeing in the industry, those tailwinds of social and CTV, and we're just so excited our robust product road map and continue to launch innovative products in the back half of the year. 
Raimo Lenschow: Perfect. And then one follow-up. If I think about events from here, like how do you think about like European Championship in football, election, et cetera? Like should that be kind of drivers that should have a positive influence for you? 
Lisa Utzschneider: Happy to take that one, too. So a few points on that. So there are over 2 billion people globally who are voting this year. And especially the U.S. elections is top of mind for the marketers. And we've got a lot of demand to launch a misinformation segment across the social platforms. This is part of -- you probably remember, Raimo, the GARM framework. Misinformation in new category that we recently launched. We launched it on Meta and TikTok. It was the #1 request from the brand. So we pulled that product into H1 of our road map. We've launched the product so that marketers can rest assured when they run digital advertising, especially leading up to the elections that their brands are running adjacent to brand safe and suitable content. The other seasonal events in addition to the elections, the Olympics, that's another important event happening this summer. And again, we're engaged with our brands and ensuring that both they are investing in our solutions and that they're leaning into our products. So they have brand safety and suitability running. 
Operator: One moment for questions. Our next question comes from James Heaney with Jefferies. 
James Heaney: Can you just talk about the revenue contribution that you saw from the cohort of customers who asked for pricing concessions on measurement? I know you mentioned that these customers are committed to increasing their volume commitments. So just curious how you're thinking about the Q2 and full year impact from those customers starting to ramp back up? 
Tania Secor: Sure. James, thanks for the question. In Q1, we -- sorry, in our last earnings call, we were clear and transparent with the trends that we saw. We shared those with you in terms of this cohort of measurement renewals and Q1 played out as expected. So the trends in our average CPM for measurement did decline, and that was reflective of the impact of this cohort of measurement renewals on our CPMs in Q1, but that was also partially offset by the premium that we're charging for TMQ and as TMQ is expanding, that helped drive up slightly our CPMs. And so -- and we factor -- things played out as we expected. As we move through the year, the measurement renewals are expected to be net revenue positive, and we factored that all into our guidance. There is actually one other thing I wanted to add just to enhance on the question. In Q1 of the renewals, we had 100% of them renewed at similar price and expanded volume. 
James Heaney: Great. And if I could just ask one more quick one for Lisa, I mean, we didn't hear as much conversation about just retail media. So I would love to get your updated thoughts there and on some of the partnerships that you've done. 
Lisa Utzschneider: Sure. So in Retail Media, we have integrations and partnerships with 9 out of the top 10 Retail Media players. And one stat I'd be happy to share in Q1, the volume from Retail Media Networks, it grew 88% year-over-year, which demonstrates the strength that we have in Retail Media and the fact that these partners are leaning into our solutions. 
Operator: One moment for questions. Our next question comes from Jason Kreyer with Craig-Hallum. 
Jason Kreyer: I wanted to ask about the MFA solution. It seems like the IAB has kind of declared war on MFAs And we've heard a little bit of pushback against that in some of our industry conversations. So just curious how -- if you can elaborate on early feedback or just your expectations for adoption of that solution? 
Lisa Utzschneider: Sure. So MFA and rolling out our MFA solution was incredibly important for our advertising customers because I'm sure you've seen the third-party reports that say that advertisers are wasting up to 20% of their ad spend on MFA sites. In April, we launched our web GA with our MFA AI-driven solution after an extensive beta that spanned over 100 campaigns. Our advertising customers, they're leaning into the solution, they love the fact that we've launched GA. And the one thing I should call out about our solution is the first solution with MFA to measure and optimize against both MFA and ad clutter sites to ultimately drive maximum efficiency and performance for the brand. So it is early days, but having run the 100 campaigns in the beta, got the engagement with the advertisers and now they're leaning into the product. 
Unknown Analyst: One moment for questions -- our next question comes from Mark Mahaney with Evercore ISI. 
Mark Stephen Mahaney: It's been -- the build-out of Meta has been some time in coming for you, it's obviously very material for you now. Could you just talk about the ability to continue to expand within Meta? How much of the inventory there you have access to? What the range of the solutions you're able to sell in and how many more solutions you could sell into that? And then separately, could you just comment briefly again, cookie deprecation with the pushout balance early next year? Just your latest thoughts on the impact that has on your business. 
Lisa Utzschneider: Sure. Happy to take that, Mark. So with Meta, we've been running our verification solutions. But what the advertisers were clamoring for is opening up -- for Meta to open up the Facebook news speed, Instagram feed and Meta reels with our total media quality. You're familiar with that, the brand safety and suitability solutions. So we launched that product February 5. As I mentioned before, we're seeing very strong adoption, we saw 50% growth year-over-year in the volumes. That's with the TMQ adoption. And in terms of expansion, we also recently announced that we launched an additional 21 new languages on Meta and offering now a total of 28 supported languages. In addition to that, with TMQ, and we'll continue to roll out more markets and more languages for our advertising customers with Meta. We also launched, as I mentioned, we pulled misinformation into the first half of our product road map because of the demand from our advertising customers to launch misinformation before the elections and in April, we also were thrilled to launch misinformation in meta, which is aligned according to the GARM framework. In terms of your second question with cookie deprecation pushing out to 2025. Cookie deprecation is actually a tailwind for our business because what we focus on is the environment and the contextual environment where advertisers are running their brands. So even since it is getting pushed out to 2025, we're not dependent on cookies for any of our verification or optimization products. And again, we see it ultimately as a tailwind. 
Operator: One moment for questions. Our next question comes from Youssef Squali with Truist Securities. 
Youssef Squali: Lisa, versus that 50% growth in volume at Meta that you just referenced, how does that jive with the revenues that you're generating from that? Are you charging separately for that? And I think you talked about it obviously being a premium product, is that part of an existing bundle that you're already selling? And then I have a follow-up, please. 
Lisa Utzschneider: Yes. Happy to take that one. So yes, we're seeing tremendous adoption of our total media quality product. That is representing that 50% year-over-year volume growth is because of launching TMQ in February. And with TMQ, because of the sophistication of the technology, the granularity of the technology, we're able to classify video image, audio tech frame by frame. So what that means is 30-second video is running, we're classifying every single frame. And because of the granularity we're able to demonstrate and improve that we're finding higher quality media for the advertisers because of that, we're charging a premium. 
Tania Secor: To add on to that, thanks, Lisa. We've already successfully negotiated a premium rate on our TMQ offering. And to help you if you seize the opportunity of Meta and the way we're thinking about it, Meta revenue today is just over 40% of our social media revenue. And as we mentioned, with the volume growth of approximately 50% that we've experienced on all of Meta since its launch, assuming that continues through the rest of the year, that's roughly, give or take, a $15 million increase in our expectations for Meta overall. 
Youssef Squali: That's great. And then you talked about double-digit growth in revenue with the mid-tier clients. Can you unpack that a little bit and just talk to the drivers of that? That's actually very impressive. 
Lisa Utzschneider: Sure. I'm happy to take that. So in Q1, we did see double-digit revenue growth with the mid-tier clients, and it's an area where our sales team is very focused on. A couple of data points to add to that more than half of our large customers today are defined as mid-tier customers. And where we're seeing nice runway and opportunity with the mid-tier channel is establishing partnerships with mid-tier DSPs. We mentioned it earlier on the call, there were 2 in particular in the pharmaceutical sector. We also signed 5 mid-tier agencies as their preferred or exclusive partners. So we're feeling very good about mid-tier in terms of the traction and momentum that we have, and the team will continue to cross-sell, upsell and put new logos on the board with the mid-tier channel. 
Unknown Analyst: One moment for questions. Our next question comes from Omar Dessouky with Bank of America. 
Omar Dessouky: So just looking at your guidance, it looked like you raised guidance for the year by about $3 million. And first quarter was maybe above your guidance by about the same. So it looks like a path through to me. I was wondering, first of all, if that's correct, I was wondering, for the balance of the year, have your outlooks for measurements or optimization changed as compared to right after the fourth quarter print? You speak more enthusiastically about social media measurement, driven by Facebook and Meta, which sounds to me like maybe you'd be more enthusiastic about the growth prospects for measurement, which would imply that optimization might be a little weaker. That's kind of how I'm reading it, but I want it to be a little bit more -- get a little bit more clarity on if that's how I should think about it. 
Tania Secor: Omar, for clarity, our full year revenue guidance was an increase of $2 million at the midpoint of the range and we also increased our EBITDA midpoint by $2 million. So 13% revenue growth at the midpoint on the top line and a 33% EBITDA margin at the midpoint. 
Lisa Utzschneider: Yes. And in terms of the back half of the year regarding the product road map and product adoption, like I said before, nice momentum across the social platforms, especially with our TMQ product, -- we are also launching, as we've mentioned earlier on the call, new partnerships with social platforms like Snap, we were the first-to-market offering brand safety and suitability Snap, which will be available later this year. And then launching several -- what we're referring to as cookie-free products. So looking into the future in a cookieless world, products like MFA, attention, misinformation, which we offer both at the prebid and postbid, we're seeing our advertising customers lean into these solutions. I had mentioned before the robust MFA beta that we did running 100 campaigns, and we'll just continue to cross-sell, upsell and ride this momentum and ensure we're driving adoption in the back half of the year. The other note to make is we're also confident on our ability to deliver on this increased outlook because of the robustness of the product road map, the investments we're making in innovation, investments we're making in AI power products and the ability for the team to execute. 
Omar Dessouky: Let me just maybe focus on optimization, just so I can like narrow this down as compared to when you gave your initial guide, has your outlook for optimization worsened at all even if a little bit? 
Tania Secor: I mean, Omar, overall, while we had a beat in Q1, we did raise our guide for the full year, given that many of the products that we've launched and now we've announced the launch of those products, and given the ramp we have expected for products that are already in market like QSP, for example, which is an optimization, we have a lot of confidence in the second half of the year. I wouldn't say that our view is that, that's declined. I mean we're still confident in the second half of the year and optimization, in particular, we're looking at more than doubling our growth rate from Q1 to Q2. And no, we're still positive and confident about our outlook for the second half of the year. 
Omar Dessouky: Just one more question, if I could. You haven't mentioned context control on the call or in the transcript. And I think in the last couple of quarters, you started to talk about kind of a decel for that specific product. Is context control going to grow in '24? Is it a driver of growth anymore? And if so, like how is that growth coming? Is it coming from new accounts using it for the first time or increased consumption by existing accounts? 
Lisa Utzschneider: Great question. So in terms of context control performance in the period, it reflected the overall optimization demand, which, as you might remember, it ramped through Q1. So it improved in March and will continue to grow in Q2. From a new logo versus existing, we're seeing both. We're seeing the team put new logo wins on the board with context control, and we're also seeing existing advertisers increase their spend in context control. 
Operator: One moment for questions -- our next question comes from Mark Kelley with Stifel. You may proceed. 
Mark Kelley: Great. I was hoping to go back to CTV and ask you if it's possible to kind of strip out Publica from that conversation. I know Publica is super important for that segment, but can you talk about, a, I guess, maybe the current trends you're seeing in CTV. And b, in my mind, as things become more programmatic and biddable. I think that makes your solutions more desirable and needed a bit more. I guess, is there a way for us to frame either attach rates or how your products are used in like a private deal environment versus biddable programmatic. That would be great. 
Lisa Utzschneider: Yes. I'm happy, Mark, to take that question in terms of the trends and differentiation that we have. So -- and I know you're very familiar with Publica. So public as a platform, we have deep relationships, both with the major global broadcasters and the TV OEMs. In addition to that, we have IAS relationships with the Fortune 500 global brands. And because of bringing together both the buy side and sell drive, we're uniquely positioned in CTV to create a marketplace for transparency between the publishers and the brands. Because speaking with the brands -- the #1 reason, at least what I here and the team here is in terms of what's holding brands back in shifting linear TV dollars into CTV and programmatic CTV in particular, it's lack of transparency. And that's an area we're very focused on. We're actually at the forefront of enabling show-level transparency for brands, so they can trust where their buys are being activated. We already have several initiatives in motion that are already providing this level of transparency that I'm describing between major U.S. broadcasters and TV OEMs. So that's where we're very focused on right now is the show level transparency and also with the direct partnerships with the OEMs and the broadcasters. 
Mark Kelley: Okay. And anything just on like the difference between like a PMP deal and more biddable programmatic inventory in CTV? 
Lisa Utzschneider: Yes. We're leaning in more to the biddable programmatic area. 
Operator: One moment for questions. Our next question comes from Mark Zgut with the Benchmark Company. 
Mark Zgutowicz: Tania, I was hoping maybe to ask an earlier question a little differently about your growth in optimization versus measurement. If you look at your optimization segment, and I know you've guided to doubling growth in 2Q, but that still implies a deceleration from 1Q to 2Q, at least on a 2-year stack. So I guess, the question is, if you think about your guidance and the mix of measurement in that guidance, what might that be? And it looks to me like you might need to see measurement mix expand from close to 39%, 40% to 50%, perhaps on your guidance, just if we follow the same trend line for optimization, unless you're expecting a reacceleration of optimization in the second half, if you could maybe provide some color there would be helpful. 
Tania Secor: Sure. As you look at our full year guidance at 13% at the midpoint of the range, growth in measurement fueled by social is expected to be higher than the midpoint and optimization growth rate is expected to be slightly lower than the midpoint, although in the double digits. 
Mark Zgutowicz: Okay. Great. And then just one last one on measurement. Is there any lumpiness that we should expect in the next 3 quarters? Or is that -- should that be pretty linear in terms of sequential strength in that segment? 
Tania Secor: So our measurement growth throughout the year, I would think about it as really primarily driven by social TMQ. In terms of lumpiness, we don't expect any lumpiness, but we do anticipate, given the trends we're seeing an acceleration of our measurement growth rate as we move through the year. 
Operator: One moment for questions. next question comes from Mauricio Junos with Raymond James. 
Unknown Analyst: Thank you. Lisa, yes, I just wanted to go back to the expanded opportunity on Meta. You have obviously talked about it on the call. But I'm wondering if you could offer some context on data reception and rate of adoption that you're seeing this early between those social customers that already advertise in Meta and now are expanding to adopt TMQ in the platform and what perhaps is the largest opportunity for you, which is those -- your social customers that do not advertise in Meta but might start doing so under the TMQ umbrella. So if you could please talk about sort of interest and adoption you're seeing by this cohort? And then I have a follow-up. 
Lisa Utzschneider: Yes, sure. Happy to take that. So I've shared all the stats in terms of Meta, the volume, the growth we're seeing in social. We've launched TMQ on Meta in early February, February 5, and we are seeing tremendous adoption. The one stat I can share is over 100 advertisers have adopted TMQ on Meta since launch and this is a combination of new logos and existing advertisers. And we're thrilled with Meta in terms of as a partner, the fact we're seeing that adoption rate, the fact that we continue to roll out new languages, more languages, more margin which is really important for the Fortune 500 global marketers. And in addition to that, also launching misinformation in April was also meaningful for the advertisers, especially the ones who are advertised -- plan to advertise during the U.S. elections. 
Mark Zgutowicz: Okay. And then on CTV, obviously, a lot of excitement about the prospects of CTV, it's a long-term driver of digital spending. So we'd be understanding that most of the tailwind is initially expected to come from dollars shifting from linear TV, which will largely be incremental to you. But just wanted to ask you about the potential impact if advertisers continue to emphasize the format budget within digital, it's time shifting from other video formats into CTV which has a high CPM, but relatively lower volume. So if you could think about this dynamic and perhaps talk about the stage taking to capitalizing this trend, including any potential monetization strategy that would allow you to benefit from the higher CPMs? 
Lisa Utzschneider: Yes. Happy to take that. In terms of the trends that we're seeing, there are a few. So with CTV in particular, typically, those budgets are moved from linear traditional TV into CTV, whether it's premium CTV content like what is running on Netflix, we have a measurement partnership with Netflix or moving over into programmatic CTV. So that's how we view CTV and it's roughly, what, $25 billion, $26 billion marketplace today, double-digit growth. Lots of runway in CTV early days, but that is a new revenue stream on CTV. And then the other area to call out in terms of when you think about measurement and social, the growth right now as an industry is short-form video. Short-form video, you hear about it in Meta's earnings calls, in YouTube with Meta reels, YouTube shorts, short-form video running on TikTok. The usage is through the roof in terms of users viewing, creating, sharing short-form video within the live feeds of those platforms. And as I'd like to say, the brands go where the users are, and that's why we're seeing such high engagement from the advertisers as they are investing more and more of their digital advertising dollars in the social platforms because of the explosive growth of short-form video, which also commands a higher CPM. 
Operator: I would now like to turn the call back over to Utzschneider titer for any closing remarks. 
Lisa Utzschneider: Thanks, everyone, for joining today's call. I'm proud of our global team's execution, and we're pleased with our momentum heading into the second quarter. We're excited to drive adoption of our innovative new products throughout the year. We look forward to updating you on our progress and to seeing you at several upcoming investor events. 
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.